Operator: Good day, ladies and gentlemen. And welcome to the Sands' Fourth Quarter 2022 Earnings Conference Call. At this time, all participants have been placed on listen-only mode, but we will open the floor for your questions and comments following the presentation.  It is now my pleasure to turn the floor over to Mr. Daniel Briggs, Senior Vice President of Investor Relations at Sands. Sir, the floor is yours.
Daniel Briggs : Thank you, operator. Joining the call today are Rob Goldstein, our Chairman and CEO; Patrick Dumont, our President and COO; Dr. Wilfred Wong, President of Sands China; and Grant Chum, EVP of Asia Operations, Las Vegas Sands and COO of Sands China.  Today's conference call will contain forward-looking statements. We will be making those statements under the safe harbor provision of federal securities laws. The company's actual results may differ materially from the results reflected in those forward-looking statements.  In. addition, we will discuss non-GAAP measures. Reconciliations to the most comparable GAAP financial measure are included in our press release. We have posted an earnings presentation on our website. We may refer to that presentation during the call. Finally, for the Q&A session, we ask those with interest to please pose one question and one follow-up question, so we might allow everyone with interest the opportunity to participate. The presentation is being recorded.  I'll now turn the call over to Rob.
Rob Goldstein : Thank you, Dan, and thank you for joining our call today. A few brief comments, then we move to Q&A. Macao's future is bright, remains the largest integrated resort market globally. Our commitment to investing in this incredible market is never wavered and with an unrivaled critical mass of world-class IRs as well as continued improvement in transportation infrastructure in the region. Macao will mature into a vibrant, diversified tourism market over the coming years. SCL's positioning and scale are perfect to capture the opportunity. Our diversified IR model with continuous investment in non-gaming segments, including MICE, hotel suites, live entertainment, retail, food and beverage, positions us well to capture the growth opportunity. Our diversity, scale and track record in non-gaming make us uniquely positioned to cater all segments of the market enable Macao to appeal to international tourists as well. The new concession is a win-win. We deeply appreciate the opportunity to operate one of those gaming concessions in the next 10 years. We are excited to deploy more capital to expand non-gaming offerings at SCL.  The $3.8 billion commitment is just a baseline. We hope to invest more as the market continues to grow. The commitment to develop non-gaming is the core of our investment and operating strategy for the past two decades, whether it be MICE, entertainment themed attractions or destination sales and marketing in overseas markets. We view the investment commitments by SCL and the rest of the industry is positive for Macao.  Over the past few weeks, travel restrictions have been lifted. It is too hard to tell the true measure of the underlying pace of recovery, but indications are extremely positive. We have seen significant improvement on property visitation, gaming volumes, retail sales and hotel occupancy.  We remain positive on investments in, The Londoner and Four Seasons. Our investments position us well as the market recovers. The quality of our new products will also help drive high-value tourism from the region, especially the overseas markets.  Turning to Singapore, our normalized EBITDA and gaming volumes are back now to the 2019 levels. Normalized EBITDA reached $386 million for the quarter. Rolling volumes are approaching 2019 level and mass win per day is now exceeding the level of 2019. We have also delivered strong performance in non-gaming across all segments, including retail, mall, hotel, F&B and MICE. Retail is especially noteworthy with a 26% increase in tenant sales per square foot versus 2019. Our [Indiscernible 0:03:45] casino renovation program is progressing. Renovated product will come online throughout the year. Looking ahead, Marina Bay Sands is poised for further growth as all of our markets recover and become free of travel restrictions and airline lift continues to recover.  Let's move to Q&A.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] And the first question is coming from Joe Greff from JPMorgan. Joe, your line is live.
Joseph Greff : Hey, everybody, good afternoon. And good morning to those in Macao. My first question, obviously, is going to be on Macao, and Rob, Patrick, Dan, can you remind us what levels of mass GGR either on a dollar per day basis or as a percentage of 2019 levels, do you need to be at in order to be EBITDA breakeven? Obviously, the 4Q saw a narrowing relative to the 3Q. I'm presuming and would love for you to expand on it, I'm presuming what you're seeing thus far early in January is either at EBITDA breakeven or maybe more recently generating some level of positive EBITDA.
Rob Goldstein : So pessimistic, Joe. We're more than breakeven. A lot more than breakeven, doing just fine. I'll ask Patrick to give us some color on those issues, but I think we're past the breakeven. We're now in the positive territory moving towards very positive territory. Patrick?
Patrick Dumont : Thanks, Rob. So a couple of things to note. Mix is important here. So as you know, we're a mass and premium mass and really a large-scale tourism investment company. And I think the key thing to note is the market is open. Liquidity is in the market. This is going to be a premium led recovery.  We invested significantly during the pandemic. And the benefit of that investment is on full display. We have new suite products. We probably have the -- what we think is the best new property we've had in a long time, opened up in Macao. That investment is really showing power in the market right now today. There's significant non-gaming scale and investment that we've made that is bearing fruit. And so it's great to see the recovery. It's great to see the volumes coming back.  It's interesting, I think, Rob has talked a lot about pent-up demand over the years. He's witnessed it in other places earlier in his career. We saw it here in Las Vegas, and we experienced it fully in Singapore and now we're at a run rate that is really, really strong. And I think we're seeing that in Macao. I think the key thing is this is going to be a premium led recovery.  In terms of breakeven, I don't think that's really a consideration anymore. I think we're way past it.
Rob Goldstein : Yeah. Joe, I think we can be confident, be very honest and direct. We are in very positive territory and keep moving upside. I think the one thing I would say to you is that no one ever questions the power the base mass market. I would remind you I was looking at our numbers, base mass in Macao in our building costs about 1,500 Hong Kong per hand as an opening bet. So it's a couple of hundred bucks a hand USD. That's the base mass business. The problem we have right now is you can't get a seat in the games in our buildings. We're running 95%, 100% occupancy in those games. And the same applies to slot ETGs.  The big question everyone's thinking about obviously is premium mass. And I think you'll be pleasantly surprised when you can see the numbers coming out of the premium mass. And you'll see the liquidity, you'll see resilience in that segment. And it's been a very pleasant surprise. Grant, can you add some color to that?
Grant Chum : Yeah. Good morning and good afternoon. Yeah, I think the key thing we're seeing right now is that the quality of patronage is very high across all segments. So it's not just premium mass, it's also the base mass, it's in the retail segment. So we are seeing a very strong recovery in spend per customer. And again, that's not concentrated in any one segment. It's extremely broad based. And I think what you're seeing in the public numbers on presentation were recovered.  I think for CNY against 2019, we're about 40% of where we were in 2019, Chinese New Year for the first three days. And we're seeing revenues and volumes outperforming that visitation recovery, which is natural, which is what we've seen in other markets. So things are looking extremely positive right now.
Joseph Greff : Great color, guys. Thank you. And then maybe switching over to Singapore for my follow-up question. Obviously, your comments on mass gaming, Rob, obviously, very strong. Can you maybe talk a little bit about your comments that you believe on like forcing late December and thus far in January, there's been an inflection at least from the Mainland Chinese segment? Can you give us some perspective on the relative -- I don't know if you want to look at it on a revenue or EBITDA contribution looking at 2019 levels. And then where that was sort of more recently as a percentage of the total mix?
Rob Goldstein : Yeah. I'll let Patrick -- you want address that?
Patrick Dumont : Yeah, sure. I think the important thing to note is that there was this pent-up demand story in Singapore and now it's blossomed into full on bonanza. And so what we're really seeing is every segment is working. And so we had a lot of noise in this quarter because of the hold. We rolled north of $7 billion, which is pretty unbelievable considering where we came from. And the mass play was very, very strong. And so while we were doing this, we had almost 20% of our room inventory out. And so when you look at that 477 win number in mass and you look at the rolling volumes and realize we're out 20% of our rooms, there's a lot of leg room here. There's a lot of room for us to go. And so I want to be careful when we talk about margins and contribution because we're going to adjust that as we change mix, as we get rooms online as we go through the innovation, as we change our suite product, as we price up, as we yield up, and as we have access to higher value tourism. So this is really a forward-looking thing more than it is what happened in this quarter because we're going to continue to sort of adjust while we get our mix right.  So what I would look to in this business is margin expansion over time, more rooms coming online, better product, better service and, of course, being able to capture a very strong component of both VIP play and mass play.
Rob Goldstein : Joe, I think we're missing -- to Patrick's point, we're missing -- we're in a great place. We're back to 2000 -- we're back to 1.6 run rate if you take out the abnormal low hold on the rolling. But the two drivers that we just thought -- there's a lot of drivers, but the two jump off the page or renewed tours throughout Asia and China in particular. That's yet to come. We haven't -- we're doing all this -- we're in 2019 with no China participation and or limited China participation.  And as Patrick mentioned, a handicap physical plan, we are in a very, very fortunate position with MBS. I think it's going to become a property, a lot of growth. And I believe it's going to be a $2 billion business in the future. And I see nothing holding it back, except for our own renovations, which are extraordinary. I hope you get a chance to see it. And the reemergence of Asian tourism, including China back into the property.  The only regret we have is Singapore. We just like to have more capacity because -- you'll see -- I think you'll see in this year the power of -- the earning power of MBS. It's an extraordinary product, and we're lucky to have it.
Joseph Greff : And Patrick, just back to your mix and yield comment. Do we interpret that, at least if we look back to 2019, that, that China MBS patron was a -- had a positive mix on spend per trip or spend per day or gaming revenue per day?
Rob Goldstein : I think it's a combination of factors, Joe. I think, obviously, the China market is always powerful. But I also think there's cost issues in all these markets. There's this inflationary factors, undeniable, be it energy, wages -- I mean, there's a different world out there, and you've got to cope with it. But the thing about MBS that fascinates us is we believe we can drive revenues across the board. We're going to rethink our retail, rethink our table mix, our floor, our room pricing. We think we have a product that the demand will be close to insatiable for it, from the gamer and non-gamer perspective. And we're going to overcome margin cost -- margin by overcoming costs with higher revenues, a lot higher revenues across the board in every segment. That's the approach. We see MBS as a very unique product that's unrivaled in that part of the world. And we can just push pricing across the board, gaming pricing, ADR pricing, retail pricing, F&B pricing, it's just that good and that desirable. And let's face it, the market right now is using our favor. Singapore is very desirable from a lot of perspectives.
Joseph Greff : Great. Thank you. 
Operator: Thank you. And the next question is coming from Carlo Santarelli from Deutsche Bank. Carlo, your line is live.
Carlo Santarelli : Hey, everybody. Thanks, and good evening. Rob, or whoever wants to handle this, I was just wondering, in the brief time that China has more or less reopened, have you guys seen positive or negative, any change in behavior as it pertains to patronage at MBS?
Rob Goldstein : MBS, that's a good question. I think it's too early to say we're going to see that. I see us as getting plenty of trying of participation, both in Macao and Singapore. But it's really too early to say. It just happened so quickly and the turnabout was so rapid that I think it's too hard to predict. I think the way this is going to segment though is that we're going to get more than our fair share of the rolling business in MBS. That moves in that direction, and we'll get the premium mass customer to visit more into Macao.  I think our business really is going to split in that direction. I think it's very predictable what's going to happen here, and we're okay with that. So Singapore will get the top of the top. But each of those places will get tons of premium mass demand from China and throughout the region. I also think people underestimate how powerful Macao can become as a desirable visitation place throughout China. It's got everything. It's got the rooms, it's got the access, it's got the -- one thing, it has beyond Singapore, it's has lots of capacity and lots to offer. So I think Macao is going to be a very strong international destinations ahead. We plan to be very aggressive trying to push people into Macao to see the property, all of our products.
Carlo Santarelli : That makes sense, Rob. Thank you. And then just as a follow-up, and I understand kind of looking backwards at things that are Macao related is somewhat pointless in the environment that we're in right now. But it's just -- it does stand out a little bit when looking at your base and premium mass table revenues from the slide deck, your premium mass is representing, I think, 20% of 4Q '19 base mass kind of more like mid-teens, 16, something like that. However, the premium mass is down considerably year-over-year, whereas the base mass is reasonably steady year-over-year. Is that a whole dynamic on just lower than normal historical volumes? Or is there something else that's kind of made those 2 diverge more recently here, and then the fourth quarter specifically?
Rob Goldstein : No, I think it's just a visitation issue. It's not a whole issue. It's visitations sure. I think you're going to find that washes out. I wouldn't take those numbers too much to heart. I think when you look at Q1, I wish when you see January, when those numbers are out there for the market, I think it will all wash away quite nicely. It won't be -- it won't enter into your thinking, Carlo. It's a nonevent. I think you'll see a surprising strength in both those segments.  I would say in Macao, we're going to be very strong, very represented in the base mass because we have the capacity. We're a scale player. And so we have the capacity in the gaming, non-gaming, retail, restaurant space to do extraordinary things in the base mass. And again, as I'll reiterate, base mass in Macao is a different animal than the U.S. It's a $200 base bet, $175 base bet. So pretty special customer. We are going to represent because of our scale.  But on the other hand, with all of our suite product, et cetera, I think we'll also be the leaders in the premium mass business. So we have a very strong future ahead of us in Macao. I always chuckle, people, if you're looking for a negative commentary in the Macao market, you're in the rolling earnings call.
Carlo Santarelli : Understood. And then, Rob, just quickly, if you could remind us, to the extent you guys are willing to share it, 2019, your direct VIP volume, your in-house VIP volume as a percentage of total, would you guys be able to share something like that?
Rob Goldstein : We would, but we won't.
Carlo Santarelli : Understood. You could, but you won't.
Rob Goldstein : We could share it, we just won't. No, we're not going to do that. But Carlo, thank you. It's good to hear from you.
Carlo Santarelli : Thanks, guys. You as well. Take care. 
Operator: Thank you. The next question is coming from Stephen Grambling from Morgan Stanley. Stephen, your line is live. 
Stephen Grambling : Hi, everyone. Thanks. Can you hear me okay?
Rob Goldstein : Pretty clear, Stephen. Go ahead.
Stephen Grambling : So the visitation data for Chinese near looks like Hong Kong has been the bigger driver in the recent uptick in visitation. Is there any way to parse out recovery between Hong Kong and Mainland China? And any reason why spending behavior and recovery may be different between these source markets?
Rob Goldstein : Yeah. And I've got a perfect answer to that. Mr. Chum?
Grant Chum : Yes, you can see from the visitation numbers been published by the Tourism Bureau. The Mainland Chinese visitation is at about 30% recovery rate versus 2019 CNY. So obviously, with a 40% recovery for overall visitations, Hong Kong visitation recovery has been higher. Mainly, I think, as a result of just the ease with which they've been able to go. And obviously, Hong Kong has had a longer stabilized situation with, as it relates to the pandemic. So I think from a pure visitation point of view, it's just not unexpected. And bear in mind, the transportation support for the Hong Kong visitor only really opened up on the eighth of January. So this has been a very rapid increase in Hong Kong visitations. That said, I think we referenced back to the comments that Rob made earlier and I alluded to as well, I wouldn't get too stuck on the visitation recovery. I think in these types of reopening, we're going to see the premium customers come back first. The core customer coming back as a much bigger percentage than the overall visitation.  So I think what we're seeing is the quality of revenues and the patronage from all regions that visit in Chinese New Year has been very, very high. So we are way outperforming the visitation recovery in terms of volumes and revenue. And indeed, I think if you look at our property visitations our recovery rate in visitations to our own property, is far outperforming the recovery in the overall visitation numbers in the market versus 2019.
Rob Goldstein : Steve, to Grant's comment just, again, we don't want to confuse visitation with GGR. There's not necessarily an easy way to make them work. I was recently in Singapore, I walked in one of our retail stores with our retail person and she told me the sales in the store were like $70 million. And I said there's nobody here, no one in the store. And she said, Rob, we only need the right people, not a lot of people. I think that's what's happening in Macao, we gained the right people showing up in mass, and it's reflecting in the numbers. You'll see that when the market numbers come out.  I think the early adapters to the market are the right people for the market. And I think that's why there's a confusion in the visitation versus the actual revenues.
Stephen Grambling : Makes sense. And maybe as a related follow-up there, there's been a similar dynamic, stronger spend per visitor in the U.S. that ultimately drove much better margins. How are you thinking about the puts and takes to margins in Macao versus what we've seen in other markets?
Rob Goldstein : Grant, margins?
Grant Chum : Yeah. I think first of all, our cost structure is in good shape. It's been -- unfortunately, we've had to spend extra effort in optimizing the cost structure over the past two or three years. So we've got a very lean cost base right now.  In terms of gross margins on the revenue, I think a couple of things. One is our mix, obviously, is more favorable going forward just from a gross margin mix perspective simply because a vast majority of our revenues will be coming from the non-rolling and slot segments. And then secondly, the non-gaming, we expect to be growing, and that's obviously a much higher margin. We expect to be growing retail, hotel, F&B, actually all the non-gaming segments. So that's the structural framework for the margin. But obviously, the actual flow-through in the percentage margin we ultimately deliver from this very positive structure is really dependent on the rate of volume recovery. So we still need the top line to recover to a certain level before you get the flow through. And then to go beyond that, obviously, we hope and we all are working towards that, is for this market to continue to grow and, hopefully, at least in the mass segments and non-gaming segments glad to go beyond where we were in 2019. So if that happens, obviously, our margin structure should be very positive. So hopefully, that gives you a sense of how we think about the structure of margins going forward.
Stephen Grambling : Absolutely. Thanks so much. 
Rob Goldstein : Thanks, Stephen. 
Operator: Thank you. And the next question is coming from Robin Farley from UBS. Robin, your line is live.
Robin Farley : Great, thanks. I wanted to ask, you've obviously always been very focused on the mass business there. But some of your competitors that have been more VIP focused, are you seeing them do things differently now that there's not the VIP market to go after in the same way there had been? Is that -- is it too soon to be seeing what changes that might mean?
Rob Goldstein : I would assume it is, but I'll defer to Grant since he's on the ground. I can't imagine we have any visibility into that at this point. But clearly, we have a new market here, which favors our asset base. And our approach for the last 20 years has been scale. As you well know, Robin, it's a mass story with premium mass and retail commencing, et cetera. So we don't have things like -- it's tailor made for what we do, this environment. Our competitors will adapt and have to change. But I don't know. Grant, any color on that?
Grant Chum : Yeah. I think, Robin, the competition for premium mass has always been very intense. And I think we'll continue to be, given the dynamics you just referenced. At the same time, I think as Rob says, we've got a footprint and scale advantage on our [Indiscernible 0:24:40] non-gaming asset facilities, I think really position us very well for all segments of mass. And then as Patrick referenced at the outset, the product that we've been developing for the last three years, especially, The London and the Grand Suites at Four Seasons, are really prime position to help us be more competitive the premium lifestyle segments up in market as well as, I think, hopefully, to drive overall high-value tourism to Macao over the coming years. And I do as to point about international tourism as well. I think our footprint to combine with our new products and our traditional strength in MICE, in international marketing network really position us very well to bring those high-value guests to Macao as well.
Rob Goldstein : Great. Thank you for that color. And then just for my follow-up question on Macao. Can you give us sort of a rough sense of that dollar commitment that you've made to invest over the next 10 years in Macao? Kind of roughly what percent of that might be new projects and what percent might be -- might kind of fall into the OpEx line, kind of like overseas marketing and things? Just kind of CapEx versus OpEx split, just ballpark? Thanks.
Patrick Dumont : Yeah. Sure. I think one thing that would be helpful. If you turn to Page 22 in the presentation, you'll see some details on that. So it might be best to refer to those pages because we do break it out, and there are several pages behind it that explain what our concession renewal commitments actually are. So it's there in the presentation.
Robin Farley : It's always tough to get through all of your slides before the earnings call.
Patrick Dumont : I apologize. I think the key thing here is that we're very committed to investing in the Macao market. We think this investment will drive additional long-term tourism value and diversification of Macao's economy. We're very excited to make these investments, and we think these are things that will really help achieve our goals in the goals of the government. So we're looking forward to it actually.
Robin Farley : Thank you. 
Operator: Thank you. The next question is coming from Shaun Kelley from Bank of America. Shaun, your line is live.
Shaun Kelley : Good afternoon. Good morning, Grant. So just high level, as you kind of look through kind of what you're seeing probably real time, could you give us just your latest thoughts on maybe the pace of recovery here? Do you expect things to be pretty linear or any chance of whether it's COVID or restriction-related setbacks or anything else that could change what you're seeing on the ground? And obviously, Chinese New Year is fantastic. But it would seem like the opening here is just going to continue.  Any reason that, that would be kind of different from the reality? Or how are you seeing your bookings shape up and the patterns you're expecting to see over the next couple of months?
Rob Goldstein : I'd begin by saying, first of all, we're just thrilled to be open and making money and seeing demand like we're seeing. I don't think any of us have the aptitude or the insight to tell you what's going to happen -- they have post-change news.  But I do think longer term, you have to have real strong confidence. And you see -- when you get to see these numbers that we are seeing that this is a market that's going to rebound. This market has a strong base mass, premium mass. And some of the fears be in the market about, it was liquidity like, what's resiliency, I think those fears will be pushed to the side.  What's the trajectory and how fast it happens? I don't think any of us have the gumption to make venture a guess. I think it would be silly. We just feel fortunate we're open. We're operating. We think it keeps getting better, not worse. I don't believe COVID is going to be -- obviously, China has gone through a different trajectory than we did here in the U.S.  But hopefully, that won't be a problem. Again, I don't want to speak anything that I can't speak for. But if things keep going like they're going, we'll all be in a very happy place in 2023, especially, I think, somewhere in the second half of the year. As normal travel patterns resume, Hong Kong gets back on speed, Mainland China. I think there's a lot of growth potential and a lot of good thoughts coming our way vis-a-vis the future. We are -- again, as I said earlier, we're not going to tell you that we don't believe in this -- we believe in this strongly very strongly. We believe in our assets very strongly. We believe in international tourism in Macao very strongly.  So we're not going to predict when it happens, how it happens, how fast it happens. But we feel very positive about what's going to happen in Macao in the long term, very positive. And we're looking to investing money in there and getting back to where we were in the past in Macao. We couldn't be more positive on the can long term.
Shaun Kelley : Great. Thanks for that, Rob. And then maybe a little bit more specific one for Grant, if I may. But just wanting to dig in a little bit more on the labor and staffing side of what you're seeing in Macao right now. You talked about the margin structure high level. But are you fully expecting to return to levels of staff that you had pre-COVID?  Are you already there? Will it be even above those levels? Kind of what's needed and what have you optimized? I know those people have -- many of them have found employment elsewhere, the market has grown since where we started. So kind of how do you think about maybe either FTEs or overall operating expense run rates relative to 2019?
Grant Chum : I think, Shaun, we've also become more productive and efficient through the past couple of years. So I think we'll have to rethink -- it wouldn't necessarily be referencing exactly back to 2019. And also a mix of product has also changed quite a bit through the Londoner. We do have more high-quality non-gaming asset base to operate as well.  So to give you a bit more color, today, we are short of manpower relative to full operating capacity and relative to the demand that we're seeing. So we're not operating one of the Sheraton Towers as we speak. So we are minus 2,200 rooms from our operating capacity. And our newest hotel Londoner Court, which we soft opened in the past year, we're not at the full operating capacity for that high end all-suite hotel. We're still only about two thirds of the way through in terms of ability of manpower to operate the whole hotel. So both at the top end and at the mass end, we are still short of manpower to operate at full capacity. And we'll be progressively hiring to fill the gaps as we go through the recovery. And hopefully, within the next few months, we're going to be in a better place relative to our full operating potential because we clearly see the demand pattern, I think is going to urge the whole industry to staff up and to be able to operate, especially for these peak periods. And that's another part. We have no crystal ball as Rob says served on the post CNY. But clearly, the early indications of metrics like the demand for the hotels is telling you that, yes, the demand is staging a strong recovery.  And obviously, we're going to have to [Indiscernible 0:32:50]. Thanks.
Shaun Kelley : Thank you very much. 
Operator: Thank you. The next question is coming from Chad Beynon from Macquarie. Chad, your line is live.
Chad Beynon : Hi, good afternoon. Thanks for taking my question. In the slide deck, you highlighted principal areas of development being Macao, which we just talked about, Singapore, which we talked about, and New York, which I was wondering if you could elaborate a little bit more on. But second part of that question is, I know in the past, you talked about other potential opportunities in Asia like a Korea or a Thailand, years ago we talked about Japan. Wondering if those are going quiet at this time. So I guess, firstly, on New York, and then secondly, potential Asian opportunities? Thanks. 
Rob Goldstein : Chad, let's revert your mind, I'll reverse it just. I think we all know that Thailand has been discussions there, and we're certainly looking at Thailand. And that's no secret has been in the press that Thailand is a possibility. So we're certainly looking hard at Thailand. I would love to be -- have a presence there in the future. Japan, as you referenced, is not there. And Korea is nothing viable to speak of today. So we'll jump to New York, which is an extraordinary and unique opportunity. And I think for the winning bidder or bidders, it's going to be an amazing opportunity because of a very simple dynamic of a huge market with limited capacity. There's only a few casinos there. It's probably the only place in the U.S. where you can have millions and millions of people, and yet there'll be probably just a handful of casinos total. The win per units there will be exceptional.  The lucky winner is going to do very, very well. I think the evidence of the market is clear just by looking at the three operating properties under the table games. And we really don't have much of a -- it's not a great product right now in New York as far as room capacity. It's still doing approaching USD 2 billion with just slot machines.  So our approach is very much in LVS, it's anchored by an LDH historical approach, which is scale and quality. We're not looking to build a casino, looking to build not a regional casino but rather a truly large hotel with spa convention space, dozens of restaurants, a new theater, a huge entertainment feature, a transformational product, which will positively impact the community and grow tourism a powerful statement. We're not looking to be in this thing in a limited way. We'll be all the way in. And we think if we do it, it will be transformational for the county we're working in, very good for the people in the county and something they can be very proud of. And it will drive tourism -- outsized tourism into Nassau. Our bid is very much traditional on the thinking of LVS large-scale with numerous non-gaming assets, lots of meeting space, probably 400,000 square per foot new space.  So I view New York very much very unique to the rest of the United States. It's not -- it's a population in the many millions to just a couple of casinos, very different here in Las Vegas. We've got a huge local market but dozens and dozens and dozens of casinos. There you'll be basically alone. And so it's going to be very -- it's an exceptional opportunity. It won't come along again. I think this is one and done. So we're trying very hard. And we've been trying to do New York for a number of years, but it looks like this is finally someone's opportunity. Hopefully, it's ours.
Chad Beynon : Thank you very much, Rob. And then secondly, I just wanted to ask another one on Macao, now that you've had some more data in the market, Grant. It seems like there's an even bigger shift towards Peninsula -- or I'm sorry, versus to Cotai versus Peninsula than we've seen in the past. I was wondering if you could confirm that or if that's really just kind of a mix of a reflection of what we're seeing from the different modes of transportation. Wondering if that's a trend that could continue in '23.  And then related to that, how are you thinking about your asset and the Peninsula there's CapEx opportunities? I know that's not part of the big CapEx plan. Thank you. 
Rob Goldstein : Grant?
Grant Chum : Sure. Rob, should I take that? Yes.
Rob Goldstein : Yeah. 
Grant Chum : I think I haven't seen any data on the split between Cotai and Peninsula. However, it stands to reason, I think, structurally, we see -- and we have always said that Cotai will become the primary hub. And I think even pre-COVID, we were already more than half of the mass revenues from Cotai. And I think that trend will continue.  I think there's a lot of different reasons. But I think at its heart, the main reason is just the cluster of world class integrated resorts that you have on Cotai. And what this, I think, next generation of these lifestyle consumers are looking for from Macao as a destination, and all of the investments in non-gaming that are going into basically making these results even more desirable over the next 10 years, all of those structural factors are surely will continue to push the balance of revenues towards the Cotai side, and that's a structural issue that will continue to evolve over the long time. As regards to -- we obviously have one asset on the Peninsula, we do intend to reinvest in that asset. But it clearly the majority -- the vast majority of our capital will still be going towards our Cotai properties.
Chad Beynon : Thank you very much. Appreciated. 
Operator: Thank you. The next question is coming from Brandt Montour from Barclays. Brandt, your line is live. 
Brandt Montour : Hey, everybody. Good morning. Thanks for taking my questions. Starting on Singapore. I was curious if you could compare the spend per visitor that you're seeing there to what we saw in Las Vegas in 2020 and 2021. If that's sort of holding up in the same way, if it's -- if the curve looks different quarter-over-quarter. And then if you want to throw Macao early days into that comparison, that would also be helpful.
Patrick Dumont : Yeah. I think it's really hard to compare between markets. The key thing to note is that it's really all about pent-up demand, consumer tourism experience and the products that we offer. And sort of the nature of those assets for high-quality tourism. So it's not really fair to compare between markets. The price points are different, the consumer behaviors are different. It really doesn't look the same. What is thematically similar is the pent-up demand story.  And Rob -- as I said before, Rob's seen it in his career in other locations. We experienced here in Las Vegas in a very strong way. We saw it in Singapore in a very strong way, and it's still in effect and we're starting to see them in Macao now and it's coming on strong. So I think it's really the nature of consumer behavior as opposed to the specific price points in each market.
Brandt Montour : Okay, that's great. 
Rob Goldstein : It's part of the -- to Patrick's point, think about what Singapore is market GGR versus Macao, Macao could be a $25 billion, $30 billion GGR market has been higher historically. And Singapore just doesn't have the capacity. And then Las Vegas is much more of a -- it's got a gaming component, it's got a very strong non-gaming. So it's almost impossible to apples-to-apples. The driving force is the scale of people in Macao in Singapore -- in Mainland China, the accessibility to adjustable market is so huge in Macao. And so the product offering. To Grant's point, the Peninsula, versus the Cotai, it's got such enormous capacity and great product. It's hard to -- that market is so outsized when it just back at full capacity, it's hard to compare than anything. It's so powerful.
Brandt Montour : Okay. Okay. Thanks for that. And then on Slide 22, the long-term commitments in Macao slide, on the capital, the left side of the slide, I was curious, looking at your plans for the next 10 years if you think you're going to be able to achieve return levels commensurate to recent projects that you've done in that market and you've enjoyed in that market?
Rob Goldstein : Yeah, we sure do. We forget, we -- you're talking to a bunch of people have been doing business in the count for 20 years, and we've seen the returns. We've seen what non-gaming can do. Our theaters, our retail, our entertainment has driven billions and billions and billions of dollars of EBITDA, and they will in the future as well. We have no concerns whatsoever about investing and getting a solid return on non-gaming commitments. All they do is drive more visitation to the market. They are additives to the market, certainly going to drive more business right now.  We look at this as a 10-year starting commitment and going beyond that. Our commitment to Macao is as long as we can be there. And so we have no hesitation to invest or show the market a very, very considerable return. Just look we've done in the past. I mean, on our current assets, mostly non-gaming. The lion's share of our investment in Macao is non-gaming, the great majority. It's worked out pretty well for us. So we think next 10 years, we'll continue that trend, and we're very happy and very committed to Macao.
Brandt Montour : Excellent. Thanks so much, everyone. 
Rob Goldstein : Sure. Thank you. 
Operator: Thank you. The next question is coming from Ben Chaiken from Credit Suisse. Ben, your line is live. 
Ben Chaiken : Hey, everyone. Just a quick one for me. Historically, capital return has been really important to you guys. Obviously, Macao is just beginning to ramp, and there's a lot of areas to invest. But how are you thinking about the dividend these days? Is that still important? And if so, how should we think about timing of that?
Patrick Dumont : Yeah. If Sheldon were here, he would say, yay [ph 0:42:49], dividends. I think someone put us on hold in Macao.
Daniel Briggs : Sorry about that.
Rob Goldstein : Brief commercial from Macao.
Patrick Dumont : So as I was saying, if Sheldon were here, and we miss him dearly, he would be saying, yay, dividends. I think Las Vegas Sands is a growth company. We're back to growth. We're a development company. We do large-scale developments in key markets. But most importantly, we're also a returning capital company.  And I think as our business returns and as we see normalization of cash flows, we're going to look to start the dividend again and be very shareholder friendly. But at the end of the day, we're very focused on the strength of our balance sheet of new development. And you heard Rob talk about New York, it's very exciting. There are other things that hopefully we'll get a chance to do in the near term. And opportunistically, I think we'll continue to deploy capital where the highest returns are. And as part of that, the dividend will be fundamental to our shareholder return strategy. But I think we're going to wait and see where operating cash flow ends up and we'll make some assessments at that point.
Ben Chaiken : Got it. Thank you. 
Operator: Thank you. And the next question is coming from Steve Wieczynski from Stifel. Steve, your line is live. 
Steve Wieczynski : Yeah, guys. Good afternoon. So Rob or whoever wants to take this, I mean, if we look at visitation in Macao over the last, let's call it, week or so around the start of Chinese New Year, it does seem like it has been pretty strong. And I guess, is there any commentary or color you could give us about the spending patterns of these folks that are coming to the market? Meaning, are these folks gambling as much as they did before? Or is that some of that spending being pushed more into the non-gaming side of the floor? And maybe it's just too early to tell. But I think with how high Chinese savings levels are right now. I'm just wondering if you can provide any color around that.
Rob Goldstein : Yes. Yes. Yes. They're spending in retail, they're spending in gambling, they're spending, as we may have referenced so Steve, it's just the right customers showing up. And I think this is historically how it's worked out in the recoveries where those who are the most aggressive gamers and retail spenders show up first. And we're seeing that strongly in Macao. It's a very good audience, a very strong audience. You'll see the market numbers then come out.  It's really gratifying for those of us who wait along terrible three years to see these days return, and they returned. And I think the real question is these customers that are now the question is, how many more are coming behind them? Because to your point, visitation has been mediocre out of Mainland China, relative to what had been previously. We're not even there. We're getting some pretty big numbers coming out of Macao in the market.  So we're very enthused about it. I don't think -- it's not necessarily choosing gaming or retail, I think they're doing both, and then they're eating and shopping and funding everything. So -- it's very typical of these recovery situations where the people who wanted most to shop there and they're buying their spending enjoying life again. I think the Chinese are no different to the Americans who came to the U.S. markets and enjoy themselves. And hopefully, a party continues is just getting started, and we've got a very encouraging start to this reopening after the last three years.  Grant, do you want add some color to that, any issues you can raise that I haven't?
Grant Chum : No, I think it's just as you said. The nature of these reopenings, it will attract the high-quality customers first, and that's what we're seeing. And I think we saw that in Singapore in April as well. We had much stronger recovery in the Southeast Asian overseas spend in Singapore versus the recovery in the tourist arrivals. And I think Macao has also following something similar, except for the fact Macao has a much bigger advantage in being able to support visitation, not just by international airlift, regional airlift, but also by land and sea as well and domestic airlift then connecting through the Southern China as well.  So I think it's -- let's see how -- what the pace of visitation recoveries like versus the revenue recovery. But so far, I think the pattern that we've seen in CNY does support that pattern. Yes, you're getting a much stronger revenue. I think you are in visitation.
Rob Goldstein : I think that last comment of Grant's, that's a great one, in that this is on the air dependent market like Singapore. You'll need the airlines. You can come other ways, access to Macao is mostly vehicular or both. So I think it's a huge advantage for Macao that as the population conquers, the virus situation gets more confident, there's nothing to -- no impediments to massive growth in visitation coming to Macao from China. That's a very positive point.  But Steve, look, we just -- we are pleased we're seeing and they're spending in every direction. So we very -- we feel very fortunate. Hopefully, it just continues to ramp up from here.
Steve Wieczynski : That's great color. That's it for me, guys. Really appreciated. 
Rob Goldstein : Thank you, as always. 
Operator: Thank you. The next question is coming from David Katz from Jefferies. 
Cassandra Lee : Hi. This is Cassandra on behalf of David. Happy Chinese New Year to everyone. Yeah, I think a lot of my questions have been answered already, so I hope it's not getting repetitive. You've mentioned cost issues in all markets, especially in energy wages. So could you discuss to what extent are those permanent? And where we might be run rating in terms of EBITDA versus 2019 level today?
Rob Goldstein : We're not going to discuss EBITDA at this point, except for what you've seen in Singapore. I do think energy is a vast thing. It does vastly. It doesn't go one way, as you well know, whereas wages, I think, worldwide are going to be an issue for everybody. And I think we'll deal with that. They're not -- I don't see them coming down a whole lot. Again, our resorts and our capacity constrained ability to price up -- the rating at our business is you can price up and retain your margins. That, I think, will be our strategy in Singapore and also in Macao. I don't think wages are going to decline greatly. I think Grant alluded to efficiencies, and then that's important. We have a large workforce, in the tens of thousands, in Macao. So more efficient and better doing what we do, that should be helpful. But I think we're all going to live with at this point in the U.S. and Asia, higher wages appear to be in the structure for now. Patrick?
Patrick Dumont : I think the key thing is that by the nature of our business, we have resiliency in the face of inflation. As Rob mentioned, we have a lot of flexible pricing, hotel rooms, gaming pricing, the way we operate food and beverage, that we operate all of our non-gaming amenities. These are not long-term contracts. We have the ability to go with the market.  So while there are some structural increases around wages, around inputs that we use, at the same time, we have the ability to price because of the unique nature of our products the experiences we offer to be fair to the positioning of the products that we have. We've invested a lot over many years in both markets, the reason why they're so strong. So in our mind, inflation is a real thing. We have to take into account but we have the ability to work through it and actually grow the margins of our business over time.
Cassandra Lee : Great. Thank you. And shifting to New York, how do you share or disclose publicly what kind of investments you expect to make if you win the gaming license versus if you don't?
Rob Goldstein : Yeah, the current thought in our heads is about $4 billion to $5 billion. Again, this is not a regional casino. This is a full-blown resort. With MICE, entertainment, retail, restaurants, it's the real thing. It's not meant to be a small time investment. We're going all the way in and building something transformational that drives tourism. And we think will be the biggest, in terms of the casino business will be the biggest revenue generator.
Cassandra Lee : Great. Thank you so much for taking my questions. 
Rob Goldstein : Thank you, appreciated. 
Operator: Thank you. And the last question today will be coming from Dan Politzer from Wells Fargo. Dan, your line is live. 
Dan Politzer : Hey, good afternoon, everyone. And thanks for [Indiscernible 0:51:23] I guess, first on Macao. I know VIP was historically about a quarter of your total business. I mean, to what extent, if any, have you seen this customer return and in what form has it been more of a credit, a direct VIP type customer? Or is this customer showing up in premium mass?
Patrick Dumont : So one thing to note is the VIP contribution was much lower than that. So let's call it, high single digits, low double digits historically. We've always been mass and premium mass driven. So it's -- on a contribution basis because the margins in premium and VIP and, to be fair, junket business, were always structurally much different than they were for our mass business. So we've always been led on a contribution basis by our mass play and our premium mass play. And you can tell that by our asset base and how we speak to our customers and the type of tourism we attract. That being said, I do want to turn it over to Grant for some additional comments.
Grant Chum : Thanks, Patrick. Not a lot to add. I mean, all of our rolling business currently is in the premium direct program. And I think the second point is premium mass is doing recovering much, much faster than premium direct. I think that's what we're seeing right now.
Dan Politzer : Got it. And then just a follow-up on the New York investment, the $4 billion to $5 billion you mentioned, I mean, is there -- should we expect a commensurate return on that type of project that you've seen in your Asia-based investments or given the high density population, the spend curve per unit, is there reasonable to think that there could actually be upside to that kind of 20% historical return?
Patrick Dumont : I think for us, we're very focused on return on invested capital. So Rob and the rest of the team really looks everywhere that we can to try to best deploy capital in the highest return outcomes. And so we would be interested in New York, if we didn't think the returns were there. We think it's a very strong potential opportunity. And for us, it's going to be about the jobs we create, about the tourism we drive about the investment in the local community, the relationships that we have. In every market that we're in, we're typically the largest trade partner with small and medium enterprise. We're looking to develop deep community routes, so we can support the community and really show this industry is something that can benefit everyone. So we're very excited about it. We think the returns are there. Otherwise, we wouldn't be interested.
Dan Politzer : Got it. Thanks so much. 
Operator: Thank you. And ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time. And have a wonderful day. Thank you for your participation.